Operator: Greetings, and welcome to the Grupo Aeroportuario del Centro Norte OMA Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation.  Please note that this conference is being recorded. I will now turn the call over to our host, Emmanuel Camacho, Investor Relations Officer. Thank you. You may begin.
Emmanuel Camacho: Thank you, Diego. Good morning, everyone. Thank you for standing by, and welcome to OMA's third quarter 2021 earnings conference call. Ricardo Duenas, OMA's CEO; and Ruffo Perez Pliego, CFO, will be joining us this morning and will discuss OMA's third quarter 2021 results. Please be reminded that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including factors that may be beyond our control, which include the impact of COVID-19. I will now turn the call over to Ricardo Duenas.
Ricardo Duenas: Thank you, Emmanuel. Good morning, everyone, and thank you for joining our conference call to review the evolution of our business as well as our performance during the third quarter. Total passenger traffic reached 5.1 million during the quarter, which was 13% above our second quarter performance. In absolute terms, Monterrey, Ciudad Juarez and Chihuahua led the recovery path. As compared to the third quarter of 2019, total passenger traffic stood at 83%. The airports that the passenger traffic recovery were at Ciudad Juarez and Mazatlan. Additionally, our international passenger performance continues to deliver a strong recovery level as it stood at 99.6% of the international passengers served in the third quarter of 2019. The international passenger recovery is primarily driven by destinations such as Houston, Dallas and San Antonio. In terms of route performance versus three quarter of 2019, those that experienced the greatest traffic growth in volume terms during the quarter were Monterrey on it San Antonio, Dallas and McAllen routes and Ciudad Juarez on its Guadalajara and Mexico routes. During the quarter, we saw improving passenger dynamics by the end of August and September, once the third wave of COVID-19 began to recede. Currently, of the nine states where OMA has operations, seven states are in green status and two in yellow. This is the greatest number of states in green status since the pandemic started. For the remainder of the year, we are confident that our passenger traffic will continue to evolve positively, and we expect to reach a level of approximately 17.7 million passengers for the full year of 2021, which equates to 76% recovery relative to 2019. It is important to highlight that we expect a strong winter season in our leisure destinations as travel restrictions in Canada have lessened. For the last three months of 2021, we have confirmed the opening of 17 seasonal routes from Canada and the U.S. These routes did not operate in the fourth quarter of 2020. Additionally, in September -- in December, Aeromexico will start flying the Monterrey to Madrid route, our first transatlantic destination in over a decade. All in all, we will open 20 RHM destination routes in the fourth quarter. Finally, at the end of September, a total of 136 origin destination routes were in operation compared to 140 at the end of December 2020 and 183 routes in operation at the end of December 2019. Turning to our third quarter operational results. Our passenger traffic performance during the quarter and our strict cost control efforts throughout all areas of the company resulted in overall positive results across different business lines. I would like to highlight that we reached an adjusted EBITDA of MXN1.5 billion in the quarter, 2% above the third quarter of 2019, with a record margin of 75.2%. On the commercial front, revenues increased 125% compared to the third quarter of 2020, with the largest increases on parking, restaurants, car rentals and retail. Occupancy rate for commercial space in our terminals was 85% at the end of the quarter. Diversification revenues increased 71% mainly due to higher revenues from hotel services and OMA cargo. During the third quarter of this year, the occupancy rate of our Terminal 2 NH Collection Hotel was 70%, while the Hilton Garden Inn Hotel at the Monterrey Airport had an occupancy rate of 51% during the quarter. OMA cargo delivered again an outstanding performance with an increasing tonnage handled of 73%, resulting in a revenue increase of 52% versus the third quarter of last year. Revenues from handling and custody of air and ground import cargo drove the increase in revenues. Total investments in the quarter, including MDP investments, major maintenance and strategic investments were MXN124 million. Some of our major projects underway include the expansion and remodeling of the Monterrey Airport Terminal A and C, expansion and remodeling of the Ciudad Juarez terminal building, expansion and remodeling of the Tampico terminal building, platform reconfiguration of the Monterrey Airport, modernization of the Zihuatanejo terminal building and green investments related to solar panels in our 13 airports. I would like now to turn the call over to Ruffo Perez, who will discuss our financial highlights for the quarter.
Ruffo Perez: Thank you, Ricardo, and good morning, everyone. I will briefly review our financial results, and then we will open the call for your questions. Turning to OMA's third quarter financial results. Aeronautical revenues increased 153% relative to the third quarter of 2020, driven by the 121% increase in passenger traffic. Non-aero revenues increased 98%, with commercial revenues having the largest contribution. Commercial revenues increased 125%. The categories with the highest variations were parking, restaurants, car rental and retail. Parking revenues increased 120%, mostly driven by the increase in traffic levels. Restaurants, car rentals and retail increased 167, a 112% and 118%, respectively, due to the end of discounts granted during previous quarters as well as higher revenues from revenue sharing. Diversification activities increased 71%, mostly driven by higher revenues from the hotel services and OMA Carga. As a result, total aeronautical and non-aeronautical revenues were MXN2 billion in the quarter and grew 138% versus the third quarter of 2020. Construction revenues increased 7% as a result of the increase in MDP investments. The cost of airport services and G&A expense increased 5% relative to the third quarter of 2020, mainly due to a 16% growth in payroll expense which reflects a onetime expense of MXN8 million related to the restructuring from reorganization charges related to changes in labor regulation in Mexico as well as a 25% increase in contracted services as a result of higher levels of passenger traffic. OMA's third quarter adjusted EBITDA was MXN1.5 billion and adjusted margin was 75.2%. During the quarter, we recorded an increase in the major maintenance provision of 843% to MXN155 million. This reflects increased future major maintenance works under the MDP that was approved by the authorities last year. Our financing expense was MXN42 million, which was largely benefited from a foreign exchange gain as compared to the third quarter of last year. As a result, consolidated net income reached MXN812 million. With respect to our financial position. The cash generated from operational activities in the third quarter amounted to MXN 1.4 billion, and the cash at the end of the quarter stood at MXN 4.7 billion. This already reflects the repurchase of shares worth MXN475 million during the quarter. Total debt amounted to MXN5 billion, comprised of three peso-denominated bonds earned our net debt to adjusted EBITDA ratio stood at just 0.1 times at the end of the quarter. This concludes our prepared remarks. Operator, please open the call for questions.
Operator:  Our first question comes from Alejandro Zamacona with Credit Suisse. Please state your question.
Alejandro Zamacona: My first question is on the commercial business. So can you just confirm what's the current status on the discounts that we have been seeing on the minimum annual guaranteed contracts? And how should we think on these discounts going forward?
Ricardo Duenas: Alejandro, we take out during the second quarter the discount programs that we have with commercial tenants throughout the airports. So basically, by the third quarter, we did not have in place a discount program for tenants. So going forward, we should expect to see in terms of the minimum annual revenue increases by inflationary adjustments. And as passengers continue to grow, we should see also more contribution from variable revenue share component of the contracts.
Alejandro Zamacona: And then my second question, if I may, on the dividend. Can you provide any color on future dividends and potential dates and other amounts? I mean I understand that there is already 2 billion approved dividend for this year, but without any date and amount. So can you provide any color on that?
Ruffo Perez: Sure. Sure, Alejandro. At the moment, the Board is still evaluating the right timing for the payment of the dividend.
Operator: Our next question comes from Alan Macias with Bank of America. Please state your question.
Alan Macias: Just on adjusted EBITDA margin, what are your expectations going forward? And where are you seeing cost pressures, anything on electricity that you can give us further color? And if you can give us the percentage of electricity provided by the CFE?
Ricardo Duenas: In terms of EBITDA margins, we believe for the foreseeable quarters the 5% margin can be sustained. And definitely, there has been a pickup in inflation in Mexico, as all of you know. So probably by the start of next year, we'll see some annual adjustments to all of our contracts such as security, cleaning, maintenance contracts that are indexed annually by inflation. So we should see a pickup in those types of costs. But with the increase in passenger levels that we expect also for the next quarters, the margins that we are estimating can be sustained. With respect to electricity, as you know, we have a PPA for clean energy supply. Last year, that contract supplied around 70%, 80% of our total consumption. This year, from January to September, it has supplied over 95% of our total consumption. And the remainder would be what the CFE provides.
Operator: Our next question comes from Guillermo Mendes with JPMorgan. Please state your question.
Guillermo Mendes: I have two questions. The first one is on traffic. I recall on the second quarter results, you mentioned about being back to '19 levels by early 2023. I just wanted to double check if that's still your expectations? And the second question is regarding to capital allocation and growth opportunities. There was a discussion about the Barbados Airport auction, which has been halted. Just wondering if you're considering another outside Mexico at this time.
Ricardo Duenas: Thank you. For your first question, yes, we're still confident that we will reach 2019 levels by the first quarter of 2023. And regarding the Barbados Airport, as you know, we are a prequalified better for the concession process. However, the process has been delayed, and we expect that the project will be restated next year.
Operator: Our next question comes from Bruno Amorim with Goldman Sachs. Please state your question.
Bruno Amorim: I just wanted to view on your expectations for traffic going forward. OMA has been underperforming the other listed groups possibly because of the export specific which left the market, also maybe some export business-related traffic. So from your conversations with your customers going forward, what's your expectation? Should we expect a catch-up? Or do you think on a relative basis, you will be more than your competitors going forward?
Ricardo Duenas: Thank you, Bruno. Yes. The main reason we've been lagging is regarding the business travel component of our portfolio. We believe we will catch up. You got -- it's important to differentiate the business travel. There are many types of business travel. You can have the corporate business travel or the industrial business travel. Most of our business travel-related traffic is mostly industrial, which we believe will be hardly replaced by technology and such. So we will expect a catch-up pretty soon, especially as light in the different states start coming back to green and COVID-19 worry starts to recede.
Operator: Our next question comes from Rodolfo Ramos with Bradesco BBI. Please state your question.
Rodolfo Ramos: My question is actually a follow-up on question here. I mean looking at the weakness that we've seen in these more -- in Mexico's more iconic business routes, Monterrey, Gualajara, Monterrey, Mexico. I mean what is your expectation there? I mean, a little bit looking not so much in the longer term as the jury is still out there on that one. But short, medium term, I mean, do you see for example, plans for exports to come in -- start coming back in 2022? I mean is there anything that you can share perhaps more qualitative on your expectations for traffic, especially since we -- with this 17.7 million passenger for 2021, it's a little bit below what we're expecting for the full year. So just want to understand how are these -- this business segment, how are your expectations for perhaps the first half of next year?
Ruffo Perez: In the very short term, definitely, leisure travel and BFR travel will continue to recover at a faster pace than business. And we're seeing that in our portfolio. You see ahead of 2018 levels. We are expecting a strong winter season in Antigua last year, there was basically no international traffic in those two destinations. And we do expect the return of the Canadian traffic for those two leisure destinations. Culiacan also has been performing well in some of our BFR routes. So in the very short term, we will see outperforming by and plan relative to Monterrey. However, as Ricardo said in probably the next 6 to 12 months, we expect a pickup in business. We are already seeing many offices coming back to potential work rather than home office. A lot of banks also have started to reengage with meetings with clients. So we would expect that as the year comes to an end, basically, the vast majority of are vaccinated and restrictions from international offices are relapsed in terms of travel, we will see a pickup in that business segment that we are not seeing at this time. But we do expect to -- for that business travel to start picking up in the second half of next year.
Ricardo Duenas: Also, I think just to add to that point, as Aeromexico starts emerging from chapter 11, and they already have approved some new airplanes, we believe it will help especially in the Mexico Monterrey route, which is our primarily business destination.
Rodolfo Ramos: And if I may squeeze a follow-up here. On your cost side, I mean, when you look at your operating expenses, you're still well below -- slightly below what we saw in 2019. I mean for 2022, and then I just want to get a sense of how sustainable these levels are? I mean, should we be looking at what you've been reporting in recent quarters and tied along the expected inflation for 2022? Or do you think that as traffic recovers, you will likely see a greater pressure there?
Ruffo Perez: I mean, what we have seen already this year increases that are related to traffic growth as, for example, some of the savings that we achieved last year where we could close down significant portions of certain terminals or reduced hours of operations are -- we're not able to do that anymore. So we are seeing increasing electricity consumption or cleaning or security expense. But some of the lessons that we learned during the pandemic is we identified some ways to be more efficient. So some of those initiatives that we had last year will continue to benefit in the foreseeable future. So we do expect stability in costs. Certainly, as I mentioned, we will see inflationary increases in most of our larger contracts. And with respect to electricity, I think it's worth noting that even though there might be a risk to our PPA, if the electricity initiative is passed by the Congress, -- We have invested heavily in solar panels in our 13 airports, which will -- some of those airports are already operational and the remaining of the airports will be operational by year-end. So for next year, we would expect that the benefit of those solar panels would offset the potential impact of the PPA, if it is affected. So in that sense, we'll also see stability in our electricity expense next year.
Operator: Our next question comes from Juan  with GBM. Please state your question.
Unidentified Analyst: I was wondering if you could give us some color on your buyback policy? Do you plan to continue buybacks at similar rates for the coming quarter?
Ruffo Perez: On, we do have approved MXN1.5 billion reserve for repurchases of which we have used the one-third of it. We will continue to engage in opportunistic repurchases as deemed appropriate.
Operator: Our next question comes from Stephen Trent with Citi. Please state your question.
Stephen Trent: Two quick ones for you. Since the U.S. FAA downgraded Mexican aviation Category two, have you noted any adjustments in U.S. originating southbound flights into your airports?
Ricardo Duenas: Not really. I think a very good reason for that is that the FAA regarding the definition of what a new route means. Just for everyone to know that the fact that we were downgraded from Category one to Category two means that you cannot open new routes or new designations to new destinations. However, the FAA defined a new route, those -- any new route that hasn't been opened in the last 1.5 years since downgrade. And since most of the airlines have been catching up most of the lost traffic during that period, we have not yet seen an effect -- a material effect in the international traffic. However, as times go on and we remain in Category two, it could start having some effect. But we believe in the case of OMA it will be negligible.
Stephen Trent: And just second quick question. Was there any meaningful disruption to any of almost installations in Guerrero? I believe that a hurricane made landfall on the Pacific Coast several days ago. Just curious.
Ricardo Duenas: There was nothing we had. Yes, there was a major earthquake. There was no major effects in the structure or the terminal or any of the runway. We had some broken glasses, but minimum impact that has been covered already by insurance. So nothing in that front, fortunately.
Stephen Trent: Okay. I'd also forgotten about the earthquake, but I'm glad to hear.
Ricardo Duenas: Sorry. And the same thing happened with -- same thing with the hurricane, nothing really major to report.
Operator: Our next question comes from . Please state your question.
Unidentified Analyst: I have two of them. The first one is related to the inflation that you mentioned, but more specifically with your hotels. Regarding the ADR, are you planning to increase the average daily rate because of the inflation, because your numbers and occupancy rates are above average in the industry? And if you're planning to do so, what will be the impact on the revenue side? And the second one is on the cash and equivalent that you have because if we compare to the third quarter '20, of course, it's a typical period and everything. But you increased by 55% almost. So I was wondering at what level of cash are you comfortable with?
Ruffo Perez: With respect to hotels, the tariff -- stated the ADR is set to a large extent relative to the competitive set in the area where the hotel is located. So even though you were seeing above average occupancy, especially in the case of the NH2 Hotel, remember that we have a large component of airline crews in that hotel, which typically have a lower rate than walk-in. So in that sense, the average daily rate would continue to move up as occupancy increases, and we have more walk-ins relative to this baseline level of airline cruise. As well as the competitive dynamics of the area specifically. And in the case of Monterrey, with the Hilton typical customer used to be at least around 70% of its customers coming from the U.S., Hilton Honors members. And that traffic is still lagging in its recovery. So as that international component of traffic goes to Monterrey, we will see a pickup in the rate of the Hilton Hotel. But at this time, the hotel is -- given its low occupancy factor, I think it's difficult that it would increase ADR in the next couple of quarters. And with respect to your cash equivalent questions, yes, we have been accumulating cash, as mentioned. We have a pending dividend distribution, which the Board has not yet set a date for. But -- I mean in terms of capital allocation for CapEx and interest payments, we do not have any major payments of that until the first quarter of 2023, and we have sufficient cash generation to meet our CapEx commitments for the next quarter. So our cash position is comfortable at this time.
Operator: Our next question comes from Gabriel Himelfarb with Scotiabank. Please state your question.
Gabriel Himelfarb: Congratulations on the results. Just a quick question about CapEx. We're seeing a rising inflation in Mexico and almost globally, and increasing prices in construction materials deal, for example. Do you think this could have an impact on your MDP plan CapEx?
Ruffo Perez: The CapEx commitment is updated -- I mean, pursuant to our concession agreement with the producer price index construction subsector. So yes, our CapEx commitment goes up as inflation increases. And specifically, in that construction index relative to 2019 December level, we are about 19% above. So yes, that will mean that we will have to invest more nominal pesos to meet our commitment with the authority in that respect.
Gabriel Himelfarb: And just a quick follow-up question. Could you give us a bit of color of your maximum grade about how much percentage are you're almost there for 2021?
Ruffo Perez: We believe that for the full 2021 year, we'll be around 94% recovery rate in maximum tariff. We do expect, as we mentioned a year ago to pass through the renegotiation of the maximum tariff in two phases. The first phase occurred at the beginning of this year. And the second stage of the increase would be passed through at the beginning of next year. So we'll see an improvement in that respect for 2022.
Operator:  Our next question comes from Pablo Monsivais with Barclays. Please state your question.
Pablo Monsivais: Just a follow-up on the earlier questions. I just want to understand that if traffic is still down on a relative basis to 2019, why are you a bit conservative on the adjusted EBITDA margin guiding for 75? Will this kind of imply that we're not seeing any operating leverage there? Or do you think that, yes, probably the EBITDA margin can increase a little bit more?
Ruffo Perez: Yes. As you mentioned, we still are below the 2019 level, and there might be a room for opportunity. But as we have also mentioned in the call, some inflationary increases on the cost side are also playing in. So I think at this time, we're comfortable thinking of a 75% margin for the next quarters.
Pablo Monsivais: And just to understand this better on the inflation, you -- I agree that you have some cost pressure for inflation, but it is my understanding that you have the ability to also increase identical revenues by inflation as well. So how is like the lack of charging high in tariffs or just reflecting inflation balance with higher costs?
Ruffo Perez: Specifically in that regard, yes, you're able to face operational leverage on the margin. However, there are some costs that are also related to traffic. I think that we will see increases in some of the contracted services such as cleaning and security as new areas come in operationally. And also, there has been some delays in certain management that we have not executed in the last few quarters. So we'll also see some increases in maintenance.
Operator: Our next question comes from Andressa Varotto with UBS. Please state your question.
Andressa Varotto: I just had two quick questions here. So the first one on the commercial revenues, if you could update us on how are the discounts to going in the second half of the year? And another quick question on the diversification. We're seeing cargo and industrial services performing strong. So just wondering what are the company's initiatives in the and what we expect?
Ruffo Perez: With respect to your first question on the commercial side, we currently do not have a discount program in place for tenants. So we don't expect any other programs for the remaining of the year. And with respect to OMA Carga
Ricardo Duenas: And through OMA Carga, we've seen an increase of 30%, almost around 30% from 2019, '20 levels, mostly have been driven by e-commerce. We expect it to remain as such. And there's a lot of value-added services that OMA Carga provides and that's mostly risen by the pickup in that there.
Andressa Varotto: So I just see if I got it correct. So you're not giving any discount to tenants anymore?
Ruffo Perez: No, not in the form of a general program. And I'm not aware of discounts.
Operator: There are no further questions at this time. I'll now turn it back to the floor to management for closing remarks. Thank you.
Ricardo Duenas: I want to thank all of you again for participating in this call. Ruffo Perez Pliego, Emmanuel Camacho and I are always available to answer your questions, and we hope to see you soon. Thank you, and have a good day.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a good day.